Operator: Welcome to Nordic Semiconductor's Q2 2025 presentation. [Operator Instructions] This call is being recorded. I will now hand it over to your speakers. Stale, please begin.
Stale Ytterdal: Thank you, Kjeld, and good morning, everyone. As Kjeld said, this presentation is being recorded and will be accessible on the Nordic website in the Investor Relations section. Additionally, for those of you who have missed the release, you can find the earnings press release, quarterly report and presentation material also on our IR website. With me today I have Vegard Wollan, our CEO; Pal Elstad, our CFO. They will share the details about our recent financial performance and updates on key business developments. Following the presentation, we will move on to the Q&A segment. During this time, live questions can be submitted through the Q&A. [Operator Instructions] As a reminder, this presentation includes forward-looking statements that come with inherent risks and uncertainties. Actual outcome may differ materially from those statements expressed or implied. We highly recommend reviewing our detailed Q2 quarterly report and the 2024 annual report for a deeper understanding of the risks and uncertainties that could impact our business operation. With that, I will now hand the microphone to our CEO, Vegard Wollan.
Vegard Wollan: Thank you, Stale, and good morning, everyone. My name is Vegard Wollan. I'm the CEO of Nordic. And with me, as always, our CFO, Pal Elstad. Let's look at the main takeaways from the second quarter. Revenue amounted to $164 million in the second quarter. This was an increase of 28% year-on-year and close to the top of the guiding range we presented for the quarter. This demonstrates that we have maintained a strong competitive position, enabling us to benefit from the continuing gradual market recovery. We saw year-on-year growth across both short-range and long-range businesses and across the main customer segments and verticals with increasing demand from both large key customers and the broad market. Gross margin came in at around 51%, which was an improvement both year-on-year and compared to the first quarter. And with good cost control, we delivered a positive EBITDA of $21 million for the quarter. Looking ahead, we expect to see continued growth, and we are guiding for a revenue range of between $165 million to $185 million for the third quarter. As I just mentioned, we maintain a strong competitive position and are able to capitalize on the gradual market improvements we are seeing. The graph on the right-hand side shows our revenue development on a rolling 12-month basis and show that revenue has clearly bounced back from the lows of last year. We see a lot of speculations about how changes in tariffs and trade policies are affecting us and others in the industry. But as far as we can tell, we haven't really seen much effect on demand and revenue, neither negative nor positive so far. However, the risk remains that this might change in the future, both because of the complex semiconductor supply chains and because end user demand might indirectly be affected. We are focusing on what we can do something about and are continuing our work to further develop a diversified and resilient supply chain while maintaining close collaboration and support to our customers. Looking at the revenue distribution across the customer groups, we see improvements both among our key customers on the top 10 list and among smaller customers in the broad market. Measured over the last 12 months, revenue on the top 10 customers are basically back to or even somewhat above the peak levels back in 2022. Revenue from other customers are still some 40% below peak levels, but we are starting to see a gradual improvement in the broad market as well from the low levels last year. It is a clear priority for us to continue to regain traction and accelerate growth among our broad market customers, and we believe the nRF54 series and our ongoing new product launches will be invaluable tools to drive this continuing growth. We remain the clear design win leader in terms of number of Bluetooth low energy and product certifications with 32% of the design certifications over the last 12 months despite a somewhat lower share in Q2. This is around 4x as many designs as the largest of our competitors. As we have said before, our transition from the nRF52 and 53 series to the nRF54 series is creating a bit of a timing gap for us. We did see the very first end product certification with an nRF54 inside during the second quarter, and we do expect to see more nRF54 certifications as we now move forward. Finally, let me repeat that this simple counting of certifications doesn't differ between high- and low-volume products, meaning that you cannot translate these numbers directly to value market shares. We continue to see great customer tractions and high design activity with the nRF54 series in short range, the nRF9151 in long range and with our new PMIC products. This is -- this activity is both with existing and new customers, both for improvement and upgrades of existing products and for new products. As the customer pipeline is growing exceptionally well for these recently launched products, the Nordic team is now working intensively and focused to support our customers moving into production in the coming quarters. And some early adopters have now started their initial production with these new products. We have also previously said that we will be launching many new product families on Nordic's market-leading nRF54 technology platform over the years to come. This covers both hardware and software product releases. And during the second half of this year, you will see that we will be launching multiple and new innovative SoCs and new software solutions for the 54 series. I do want to comment that the first customers have already started design activity with these new products before they are launched. While our product design pipeline is solid and continuing to increase, we need to allow for our customers to complete their designs with the new products, launch their products and ramp up their production before we see revenue. This means that as we have previously communicated, we will see limited revenue effect of these new products this year, but accelerated and more meaningful revenue as we move from 2026. For specific product launches in the second quarter, we expanded our innovative power management portfolio with the NPM1304, developed for the next generation of space-constrained applications with very small batteries such as smart rings, smart watches and eyewear and other wearable electronics. The NPM1300 and 1304 PMIC products are industry first with their unique ultra-low power performance and high-precision fuel gauging, enabling the most accurate measurements for remaining battery life estimation. We continue -- we will continue to expand our addressable market and applications in the PMIC offering in the quarters to come. I'll let Pal lead you through the financials in more detail before returning with a few comments on our recent acquisitions and our business outlook. However, first, I would like to highlight the work we are doing on developing our business in a sustainable manner. This ranges from our work to reduce energy consumption and use renewable energy sources where this is available to us recycling -- to us using recyclable materials where that's possible, to our compliance with internationally recognized work practice standards and our frameworks to secure best practice corporate governance. As just one recent example, Nordic is one of the first semiconductor companies to use component reels made of recycled plastic. We are obviously glad to see how our efforts in this area is being recognized. And in 2023, we found ourselves high on Financial Times list of the 500 European Climate Leaders. Last year, we entered Time Magazine and Statista's Top 500 list of the world's most sustainable companies. And this year, we climbed 200 rankings on the same list as the number 121st. That is solid validation of our work on sustainability, and I'd like to thank all employees, partners, suppliers and customers who are supporting us in these important efforts. On that note, I'd like to leave the word to Pal.
Pal Elstad: Thank you, Vegard. Also for giving the update on sustainability, which is very important for Nordic. I'll now go through the financials for Q2 this year. Revenue amounted to 164 million in the second quarter, which was an increase of 28% from 128 million in Q2 2024 and an increase of 6% from Q1 2025. Nordic maintains a strong competitive position, enabling it to benefit from a continued gradual market recovery, both among our large customers and in the broad markets. The short-range business remains the main revenue driver in absolute terms with growth across all verticals and customer segments. The company also sees healthy growth for the long-range segment in the wake of successful product launches last year. Long-range or cellular IoT revenue amounted to 7.5 million in Q2. This was a doubling year-on-year, reflecting mainly high demand from customers in the industrial asset tracking market. The long-range share of total revenue was 5%. From Q3, this technology area will also include cloud service revenue from the Memfault. It is worth mentioning that the cloud services are throughout our technology offering, not just in the long-range cellular business. The other category includes the early-stage businesses in PMIC and Wi-Fi, ASIC components and development tool sales. While the technology development in Wi-Fi and PMIC is progressing as planned, these business units are still in the early commercial phase and therefore, included in other. Turning to end-user markets. We see a year-on-year growth in all markets. As commented at the Q1 presentation, we made changes to classification of certain market verticals, mainly regrouping into industrial and health care and moving certain verticals from industrial to consumer. Consumer revenue amounted to 100 million, up from 87 million in Q2 '24 and up from 88 million last quarter. This continues to reflect the healthy development across the consumer electronics markets, including for PC accessories and gaming. Industrial and Healthcare revenue amounted to 59 million, up from 37 million in Q2 last year and more or less flat from last quarter. As in the first quarter, the strong year-on-year revenue increase reflects high sales to individual key customers. As previously communicated, the revenue in this area remains dependent on a relatively small number of customers and is exposed to relatively wide variations from quarter-to-quarter. As Vegard mentioned, gross margin ended at close to 51%, which is an improvement from the last past quarters. The increase versus last quarter is mainly driven by changes in customer and product mix and the improvements in the broad market also has a positive effect on gross margins. On the long term, we maintain our ambitions to keep gross margins above 50%. As communicated on our Capital Markets Day, our operating model is set up with an ambition to move towards EBITDA margins of around 25% over the next 5 years from the Capital Markets Day. This quarter shows that we are moving steadily in this direction. The improvement in revenue shows the strength in the operating model. Despite higher revenue, we are still spending more than 22% of revenue on R&D compared with a target model of 15% to 20%. We saw an uptick in SG&A due to high M&A activity, FX developments and high activity related to new product releases. Summing up, we are back on -- at a double-digit EBITDA margin with an EBITDA of 21 million, which is a clear improvement from Q2 2024 and a long step towards a target operating model. Going forward, we will continue to invest in R&D to execute our growth ambitions and the acquisitions we made also are also impacting our cost base. That said, we continue to be cost focused and expect to move towards the EBITDA margin ambitions in our target operating model over the years to come. Now moving to cash cost development. Over the last year, we have managed to maintain a relatively flat cash despite currency and inflationary pressures. Cash costs increased by 5% year-over-year, whereas revenue increased by 28%. 28%, as I just mentioned in the previous slide. In Q2 2025, total cash operating expenses were $63 million. This is compared to $60 million in Q2 2024. The increase of which $2.8 million is one-off strategic M&A activity and other projects. USD 2 million related to negative FX impact due to the weakening of the U.S. dollars. These 2 effects are offset by fewer employees. As the total number of Nordic employees at the end of Q2 was 1,326, representing a year-on-year reduction of 5% and a 3% reduction from the end of 2024 when the restructuring efforts had already begun to impact the head count. Going forward, we have communicated that we target a flat OpEx in 2025, and we'll continue to focus on adjusting our spending level to support margins also going forward. However, the acquisitions we have made will increase quarterly OpEx by around $4 million per quarter with effect from Q2 -- Q3 2025. In addition, we continue to see an FX -- negative FX effect compared to last year due to the weakening of the dollar. Turning to CapEx. We saw an increase of spending level in this quarter isolated because we spent $9 million in the quarter or 5% of revenue. CapEx investments are irregular, and this quarter should be reviewed in the context of the broader trend over recent quarters. CapEx intensity last 12 months was at 2.8% of revenue. The general CapEx intensity levels reflects a cost-conscious approach to investments. Current CapEx is mainly in supply chain capacity, but also IT equipment and smaller R&D investments, all to be supporting ongoing new product introductions. Finally, turning to our cash flow. You can see that we generated a strong cash flow of close to $28 million during Q2. This strong cash flow was mainly achieved by a solid cash flow from operations due to the improved EBITDA of around $17 million adjusted for capitalized items and a strong improvement in net working capital of $14 million. The main reduction in net working capital this quarter comes from a very high customer payments and in reduction in inventories. Inventories decreased $8 million in Q2 to $136 million. We commented earlier that we expected a decline in inventories during the year. However, we do expect inventory levels to increase near term from current levels. Net working capital over revenue was 23% as such, below our target of 25%. Post Q2, we have closed the Memfault and Newton acquisitions, which are financed with a 12-month bridge loan offering which gives us high financial flexibility. With that, I'll leave the mic back to Vegard for closing remarks.
Vegard Wollan: Thank you, Pal. Let me quickly round off with a few concluding remarks on our recent M&As and our outlook for the coming quarter before we turn to the Q&A. Both acquisitions we announced during the last quarter are in line with Nordic's strategic ambitions to transition from a hardware company to a solutions provider, offering more and more value-adding software and services to our customers. With the acquisition of Newton AI, we are strengthening our position within low-energy edge AI that is machine learning and AI capabilities running on the edge node devices. To unleash the potential of AI, we need to move more and more and smarter computing power to the devices at the edge of the networks to reduce latency and bandwidth requirements, secure privacy and to reduce cost and energy usage. Newton is a world leader in this field, offering ultra small machine learning models that are 10x smaller and 10x faster than the competitive solutions. And then with the acquisition of Memfault, we are adding a whole new layer of cloud life cycle management on top of our hardware and software offering. Combining these technologies and solutions with our market-leading connectivity solutions, we are becoming the first complete chip-to-cloud solutions provider in the semiconductor industry. This slide illustrates 3 fundamental pillars in our strategy and what it means for us to become the leading and complete solutions partner for our customers. We already offer the best hardware on the market and the best software development kits and support. And we can now also offer the best life cycle management solutions. This enables our customers to focus at what they are best at, finding end-user products, application-specific software and apps and the end user interface. On the left-hand side, you see the hardware aspect, where Nordic's highly integrated and energy-efficient SoCs make us a clear market leader, where our new nRF54 series on the 22-nanometer platform will further strengthen our position. In the middle pillar, you see software -- the software aspect. Software complexity has grown rapidly in many products and applications. And that trend is just accelerating. The more software Nordic provides for our customers, the faster they can develop their products. Nordic is recognized as the market leader with our connectivity software stacks and the Nordic Connect SDK NCS. Newton AI adds a new and important layer to our software solutions. And finally, the last of the 3 main pillars is the device life cycle management. Our customers need technology that connects them with their millions of end products and devices in the field over the lifetime of their products. At Nordic, we have had an early start with our nRF cloud offering, especially for locationing and device management. But adding Memfault's cloud life cycle management solutions significantly expand our cloud services offering across all of our connectivity technologies. This truly makes our new combined offering disruptive, unique and differentiated from any competing solution. We are now truly in a market-leading position across all the 3 pillars, and the initial customer feedback on these acquisitions is very positive. I'm very excited about the growth opportunities this represents for us going forward. Turning to our near-term outlook. We believe that customer orders and forecasts indicate continued year-on-year revenue growth in Q3. And including the effect of the acquired business, we are guiding for revenue of $165 million to $185 million in Q3. That would correspond to a year-on-year increase of between 4% and 17% and an increase of between 1% and 13% from the second quarter. As I mentioned earlier, we haven't really seen much impact of tariffs and new trade policies either way so far. But we cannot rule out that this could affect revenues, demand or delivery capabilities across the supply chains as we move forward. We reported a gross margin of 50.7% in the second quarter, up from 49.5% in the first quarter, and we expect around 50% also in the third quarter. With that, I think it's time to open for questions, and over to you, Steve.
Stale Ytterdal: Thank you, Vegard. [Operator Instructions] And with that, I will now hand it over to our operator to begin the Q&A session.
Operator: [Operator Instructions] And the first question we have is from the line of Oliver Wong from Bank of America.
Oliver Wong: My question is on the Q3 guide. I was wondering how much the Memfault acquisition contributed to the Q2 revenue guidance?
Pal Elstad: I can take that. So we're not going to go disclose exactly the numbers. When we announced the acquisitions, we commented that Memfault had around just about $7 million in ARR, and then we expect a growth of 50% annually. So I think that gives the range. And we are on track on delivering that. So that's going to give the range you can put in your models.
Oliver Wong: Got it. And any other -- any additional color you can give on where the strength of the Q3 is coming from? Is it more short range, long range industrial or consumer?
Vegard Wollan: Yes. Thanks, Oliver. I think we are seeing -- we don't see anything disruptive out there, but we do see that our products are competing successfully, and we are benefiting from a continued gradual recovery, which is happening across our segments, so both in -- with our larger customers and in the broad market and also across consumer and industrial health care. I think if there's probably one area to comment on in that regard, it's probably to say we have previously talked about Asia and North America being probably leading the recovery from a timing perspective, while we also now see some improvement happening in Europe, which is positive.
Operator: The next question is from the line of Craig Mcdowell from JPMorgan.
Craig A. Mcdowell: Can I ask on the conversations you're having with your customers? When you speak with them, how are they thinking about new product launches and ramps in the next 12 to 18 months? Are you noticing any changes to plans or a more cautious approach? If you can comment on each of your end markets, that would be really helpful.
Vegard Wollan: Yes, Thanks. That's a great question. We obviously have a lot of that conversation, and there is a lot of variability from customer to customer. We -- with our -- particularly with those we are engaging the closest with, which is probably our top 20, 25 customers, we don't see much changes in any schedules or plans. They are generally within the fields, we are exchanging with them, executing on their plans. But again, those plans are also varying. Some are faster, some are slower, others are more thorough, and there is a variability there, which is -- so there isn't any generic picture in those launches. Some are upgrading or improving an existing products. Others are making completely new products. So that also, to some degree, influence some of the time lines. So there isn't a common picture actually to talk about over the next 12 to 18 months there. But what we do say and what we clearly do see is that particularly of our -- in the 3 business areas where we have launched the most products recently and are continuing to launch products in short range, long range and PMIC, the design pipeline is developing very well and the design activity with our customers is very strong.
Craig A. Mcdowell: And then just as a follow-up, can I ask on the nRF54. Can you give some color on which high-volume markets you're targeting first? That would be helpful.
Vegard Wollan: Yes. No, I think clearly as a market leader in Bluetooth low energy, we are generally servicing a broad applicability, broad market in the sense that we have multiple consumer-type products from PC, gaming to wearables, health care, all kinds of products application wise. So I think it is across. As you can imagine, we are currently renewing -- completely renewing ourselves portfolio-wise, and we are probably in the midst of that. So some we have done, a lot is still coming. But also on the stuff that is coming, as I mentioned, for instance, for the stuff we are launching now in the second half, which is important stuff for us, is also products where we do have early engagements and strong design activity already ongoing. So it is across the Nordic portfolio, this portfolio upgrade is happening.
Operator: The next question we have is from the line of Robert Sanders from Deutsche Bank.
Robert Sanders: Yes. I noticed you talking about becoming a solution company and hiring software engineers, which is a common theme we're hearing from all kind of embedded microcontroller companies. They're all seeming to hire software guys to become solution providers. So can you discuss how you think your solution approach will be differentiated from your competitors? And how will your largest competitors want to engage with you? And related to this, just how will your OpEx step up given that these software engineers tend to come at higher salaries?
Vegard Wollan: Yes. Thanks, Rob. I won't be talking too much about what others are doing, but obviously, I think we do see -- if we go back to the 3 strategic pillars, we feel very confident in our leadership, in our hardware capabilities, particularly on the compute performance relative to the energy consumption of the ultralow energy that our new products are providing with our new 22-nanometer platforms, extremely integrated products completely integrated as well. So I think that's a pillar where we do have leadership. Software, I think we were early on in the software community. And the drive of Nordic Connect SDK NCS is an important factor there where I do think we have leadership in the market, adding further machine learning AI capabilities with Newton. We obviously see others have emphasis in that space as well. I do think though the fact that we are the connectivity center in the devices and products of our end customers makes it very meaningful for us to be their life cycle management partner, which is something we do see starting to happen. So for us to provide the base technology solutions also for cloud life cycle management and our customers' ability to be connected to their products since we are the connectivity hub of their products does make a lot of sense for us. And that is, of course, a unique differentiator for Nordic Semiconductor.
Operator: The next question is from Harry Blaiklock from UBS.
Harry Blaiklock: So the first is just on kind of the shape of growth going forward. It now seems that you're kind of through the big cyclical restocking period, which you saw in the first half of this year. Q3 guide is kind of close to what historical seasonality has been for the quarter. So looking forward kind of over the next few quarters, I know you're obviously not going to give us a specific guide. But do you expect kind of a return to seasonal trends and yes, seasonal trends in terms of sequential quarterly growth? Or is there anything at a high level that you're expecting over the next few quarters to a year that would stop you from kind of seeing seasonal trends?
Pal Elstad: I can comment on seasonality first. So most notably in end-user demand within the consumer segment, that's where we've historically seen seasonality. However, these segments -- these effects do not apply to all customers as some consumers are even evening out their demand somewhat compared to previous patterns. We've seen that over the last quarters, and we specifically saw that in Q1 this year. So -- and also within our Industrial and Healthcare segment, we also see that several large customers may increase or decrease their orders between individual quarters for various reasons and that are not necessarily tied to seasonality. So summing up historical variations between quarters may not be a good proxy for future variations. So it's -- we're not going to comment more on seasonality because we have seen so much changes over the last quarters that it's difficult to say because it really depends on purchasing patterns of our individual customers.
Harry Blaiklock: Okay. Got it. And just one follow-up. I know there are the obvious caveats around the certification market share data, but it's been kind of trending downwards for the last few quarters. And I wonder whether you have any concerns on that front at all, whether there's any kind of reason caution there or whether you're still kind of reassure that you're in a good position on that front.
Vegard Wollan: Yes. Thanks, Harry. I think as we've said before, we did expect and we do expect the transitioning between our, let's say, relatively mature products in the 52 and 53 series, the transitioning to the 54 series to create some timing gap for us. I think we do see that effect right now and -- which is what we did expect. And finally, the key thing for us has been obviously, with our key customers to keep our relationship and make sure that we continue winning there. We are now also seeing that we are regaining some traction in the broad market. But on the Bluetooth certifications, we are still a clear design win leaders in terms of certifications, and we do expect quite a lot more 54 certifications to come into that space in the coming quarters as we did see the very first and product certifications now in second quarter.
Operator: We have Christoffer Bjørnsen from DNB Carnegie.
Christoffer Wang Bjørnsen: Christoffer Bjørnsen from DB Carnegie. So just kind of coming back to the tariffs and so on. So clearly, now you're kind of performing well ahead of what seemed to be your expectations post the Capital Markets Day into the year. So can you maybe help us understand how you think about there not being any material plan to pull forward affecting the revenues thus far this year and into Q3? I think several of your listed customers have been quite clear that they are pulling forward inventory to get ahead of the tariffs and use their balance sheet to kind of benefit their customers and so on. And if not, then kind of what has changed to make the year look a lot better than what you indicated back in the latter half of '24, I guess that was the first question.
Vegard Wollan: Yes. Thanks, Christoffer. I think overall, obviously, the sentiment and what's happening in the market is changing from month to month and week to week. And we agree. We do see the market performing better than what we did see in September last year currently. That is what's happening. When it gets to pull-ins, potential pull-in effects or not. Obviously, having so many customers, thousands of customers as we do have, you probably have some doing that. I think what we are commenting on is generally the broader and the general picture and the larger picture and also within our larger customers where we don't see much of that happening. On the other hand, would they always tell you, would they always inform you if some of that happen? Maybe, maybe not. So this is also a bit of an open area. But as we're commenting on these areas, we haven't seen that effect in a large degree at all so far during 2025.
Christoffer Wang Bjørnsen: Very helpful. And then a follow-up on the kind of the commentary made on the both the top 10 Tier 1 customers as well as the long tail now kind of recovering, but not back to the peak levels. Do you see any kind of reasons why the long tail should we be back to those peak levels relatively soon and but maybe not comment on the timing, but I think you've kind of commented in the past that long tail is where you kind of need to rewin some socket some business? Or do you feel like your share there is still decent than that, it should kind of recover to peak levels in line with what you expect for the top 10?
Vegard Wollan: Yes. That's a great question, Christoffer. I think it's probably fair to say that, that has to be a mix for us. I think it's -- we do see obviously, you did see much more stocking and inventory happening with a much smaller customers compared to the larger customers. And we are still seeing the last bits and pieces of that recovering and expect that to also be continuing to happen in the coming time, and I did comment on Europe and the European market now looking more positively. So there is an element of that where existing Nordic customers are coming back and buying more also in the broad market. I think it's also fair to say that we also need to expand and win more there in the coming time. There are more opportunity for us to increase and improve in the broad market based on our new products. And typically, the engagement there is being accelerated and energized as you launch new products. And that's why we are saying that the product renewal cycle, we are in the midst of with the nRF54 series, 9151 and all the PMIC products as well is energizing that effort for us. And we actually see that we are now starting to regain that traction and we are quite confident and positive about the momentum and design pipeline we are also building in the broad market.
Pal Elstad: Yes. And I also have a comment, just as Vegard said, the broad market is important, and growth there is important. But remember, in '21, '22, China was also very strong in the broad market. It's -- China is delivering decent numbers now, but it's going to take some -- or we're probably not going back to the '22 levels in the China market.
Operator: Next up, we have a question from Jefferies. However, I did not catch the name. So please state your name before your question.
Om Bakhda: Om Bakhda from Jefferies. So I just had a question on your orders -- your revenues from the second quarter. So similar to the first quarter, you mentioned that you saw some elevated [indiscernible] from large to customers. But could you give us a bit more color on which end markets these customers are in? And if you're expecting similar dynamics to continue in the third quarter guidance that you've given on the $165 million to $185 million range.
Pal Elstad: Yes. I think we commented, especially in Q1 that there were some individual customers delivering solid numbers and perhaps higher than normal. We continue to see good deliveries to some of these industrial and health care customers also in Q2. And yes, that's where we are.
Om Bakhda: Just following up on that. So sequentially in Q2, health care and industrial revenues are flat. So was there any areas of sensitivity within that industrial health care bucket of revenues? And then also, do you sort of have increased visibility on order patterns for your large top 10 customers versus broader market as you progress through the year, you're having engaged conversations with those partners?
Vegard Wollan: Yes. I think as we have commented there, we do have certain large customers in all -- in both of our key segments. We also do have that in Industrial Healthcare. And they may, from time to time, change their order patterns from quarter-to-quarter. That has happened, and that is happening. I think on the visibility pipeline, we are working -- continuing to work closely with our customers, and I would say we have decent visibility on how things are developing in the coming time. Obviously, the potential tariff situation is still an element of potential uncertainty.
Operator: Next up, we have Øystein Lodgaard from ABG.
Øystein Elton Lodgaard: A couple of questions. First, now that you had the new 54 series in the market for a while, can you when do you expect to start to see some meaningful revenue from the new 54 series? And also if it's possible to comment around in the early ramp-up phase, should we expect mostly revenues from smaller design? Or is there a mix there of both smaller and some larger designs?
Vegard Wollan: Yes. I appreciate the questions, Øystein. Thank you. We -- it's been in the market for a while. It's also -- it is actually also -- it does take some time for our customers to develop on their end because they need to complete their software, they need to complete their hardware mechanics, everything and of course, also doing their certifications. This is also a radio product, so there are certifications involved and regulatory approvals and all. So their development time line does take some time. But it does also vary quite a lot. So from the first to the last, there is a fairly wide opening in that. I think it's fair to say that on the 54L, which is launched to the broader market, it's going to be a mixed picture where you will see both key customers and broad market customers launching products. I think with the 54L, which has a -- H, sorry, 54H, which has a bit of a slightly different launch concept from Nordic at this time, it may start a bit earlier with the key customers and move to the broader picture a bit over time. That's probably as much as we can say on that, Steyn.
Øystein Elton Lodgaard: On power management, do you see a higher attach rate for PMIC for the 54 compared to the 52? And should we, therefore, kind of expect an acceleration in PMIC revenue once you start to get revenue from the 54? Or will there more be a gradual kind of ramp-up over time?
Vegard Wollan: Yes. The applicability of power management circuitry is increasing with the complexity of the SoCs. And of course, our most advanced SoC now with quad CPUs and very high compute engines on board makes the applicability of PMICs higher. So I think it's fair to say, yes, the attach rate is higher and it's also a fact that it is more relevant for a customer to engage with us on PMIC as they are redesigning from an older product or designing something new. So those 2 aspects make the PMIC pipeline develop very positively. And I would say, overall, as we communicated last quarter, we are comfortable and confident that we are executing our early-stage and scale-up businesses in PMIC Wi-Fi and long range according to our plans.
Operator: Next up, we have Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: On the market share erosion, you mentioned the kind of transition period moving from nRF52, nRF53 to nRF54. Do you expect the kind of transition period affecting also your revenue in the coming quarters? Or it should be a rather smooth transition from the legacy product to the nRF54? That would be the first question. The second one is just to come back a little bit on the inventory situation. You are not anymore talking about inventories in your prepared remarks or comments. Should we assume that we are now fully back to normal levels of inventory, both at the large customer, end customers and on the distribution channel?
Vegard Wollan: Do you want to comment on the inventory?
Pal Elstad: 54 first.
Vegard Wollan: 54 first. Yes. So I think yes, there is a gap there and maybe some of that is what you are probably translating and seeing in the broad market, but there are still broad market customers coming back to us as well. So that's the first thing, Sebastian. And I do want to be very, very clear and communicate back on the fact that this is not market share. This is a certification share, design certification share, and doesn't differ between high and low volume products. We are now extremely focused also to be continuing to win and expand in low-volume products in the broad market with our recent product launches, particularly in the nRF54 series, but also from long range and PMIC.
Pal Elstad: And also remember, we're still doing 52 designs for 2027. It's not like 52 is off the shelf. This design activity far into the future on the 52. So in relation to the...
Sébastien Sztabowicz: Do you expect a normal seasonality...
Pal Elstad: Sorry, sorry.
Sébastien Sztabowicz: Do we expect a normal seasonality in coming quarters because now you don't have any kind of transition gap or...
Pal Elstad: No, no. That's -- it's not related to the nRF54. It will take time. So it's -- that won't really factor into it. So on inventory, we're -- we -- our aim is, of course, to keep healthy distribution inventories. And so that the distributors can both support end customer demand and all the different SKUs we have in the pipe right now. So it's important to keep a healthy inventory. They have been decreasing over the 4 to 6 last quarters, but we're now considering them to be in a healthy level. Coming to end customer inventory, most larger customers have been balanced situation for quite some time. We've been commenting that for the last few quarters. However, some smaller customers still have excessive inventory, but we're seeing a gradual recovery also there. And I think that's why we comment that the broad market is returning, although at a slow pace, that's because inventories are now depleted more or less in this customer area. Yes. I think we're -- yes, one more question.
Operator: I apologize if I cut off you. However, we do have a follow-up from Christoffer Bjørnsen from DNB Carnegie.
Christoffer Wang Bjørnsen: Yes. I just wanted to continue the conversation on the nRF54. So I think 54 already well out into the market with a broad launch, and we're seeing design wins there. On the H series, I think you have said that you have made it available and ready for particular product categories like computers and so on have we already seen some flagship products from your customers come out with the H20 Inside. So can you just help us understand where we are on the time line towards a broad market launch for all product segments. And since we're not there yet kind of what is left in terms of hurdles or milestones you need to achieve before we can see that kind of broad market launch?
Vegard Wollan: Yes. Thanks, Christoffer. 54 H, extremely complex, extremely powerful integrated SoC. It is a lot about maturing the overall software solution and solution around it, which is extremely powerful for those who are currently designing with it. We are expanding the number of customers we are supporting on a quarterly basis here. So it isn't like we are sitting still. The reason why we're launching it separately is truly one of our positive. The design activity is resource-intensive on our excellent engineers supporting a quite solid number of initial customers on the 54H. And as soon as this is mutually developed and completed with those key customers, it is going to be launched and be beneficial, extremely beneficial for the broader base of customers. But it isn't like there is only a handful. It's actually quite a few that are already designing with the 54H. And we are not going to be releasing particular time lines, but we are continuing to expand the number of customers engaged with the 54H also on a quarterly basis.
Christoffer Wang Bjørnsen: And then a quick follow-up on the 54 in general. It seems like you're kind of doing the launch this year with a pretty big splash in terms of the number of new product launches, if you're going to do more iterations and branches already this year. So I'm just wondering, is this like an indication of the company kind of stepping up and accelerating its product launch cadence materially? Or is this more like a big flash year 1 and then it's kind of back to a few reiterations next year? Or I'll just like how do we think about that in terms of how you're keeping a treadmill running towards the competition.
Vegard Wollan: I think at the Capital Markets Day in September last year, we said we were going to launch between 2 and 4 series of the 54 subfamilies, so to speak, or families within the 54 series per year and in the coming time. And we are definitely executing towards that and going to deliver on that in '25 and '26. We do see an excellent execution and a lot of energy in the engineering teams on Nordic at the moment as we get this momentum and so much positive feedback on the 54 series. So some of the stuff you will see us launch now in due to is actually stuff that is being accelerated and delivered somewhat earlier. So it's a lot of energy behind that. The technology platforms on 22-nano is -- are extremely powerful and strong and we are very confident in these products as we get to launch them in the coming time.
Operator: As there are no further questions from the conference call, I will hand it back to you for any closing remarks. Stale, please go ahead.
Stale Ytterdal: Thank you. Thank you. Before we conclude today's session, I have a few announcements. Tomorrow, on Thursday, 14th of August, we will hold a total of 3 post Q2 results Q&A group calls for analysts and investors. These calls will be attended by our CFO and the IR team and will be moderated by the covering analyst at each brokerage. We kindly ask participants to register for only 1 group call, the one that matches your geographically region. For details on how to register, please visit the IR calendar on our website. And with that, I will now close today's Q&A session and hand over to Vegard for the final remarks.
Vegard Wollan: Thank you. Thank you, everyone, for joining us. I think we are just on time. So this concludes today's call. Thank you for your participation, and have a great day. Thank you.
Pal Elstad: Thank you.